Operator: Good afternoon, everyone and thank you for participating in ImageWare Systems’ Corporate Update Call to highlight their progress since its last update on March 17, 2014. Joining us today, are ImageWare System’s Chairman and CEO, Mr. Jim Miller; and the Company's CFO, Mr. Wayne Wetherell. Following their remarks, we’ll open the call for your questions. Any statements contained in this document that are not historical facts are forward-looking statements as defined in the U.S. Private Securities Litigation Reform Act of 1995. Words such as anticipate, believe, estimate, expect, forecast, intend, may, plan, project, predict, if, should and will and similar expressions as they relate to ImageWare Systems Inc. are intended to identify such forward-looking statements. ImageWare may from time to time update these publicly announced projections, but it is not obligated to do so. Any projections of future results of operations should not be construed in any manner as a guarantee that such results will in fact occur. These projections are subject to change and could differ materially from final reported results. For a discussion of such risks and uncertainties see Risk Factors in ImageWare’s Annual Report on Form 10-K for the fiscal year ended December 31, 2013, its quarterly reports on Form 10-Q for the quarter ended March 31, 2014 and its other reports filed with the Securities and Exchange Commission under the Securities Exchange Act of 1934 as amended. Readers are cautioned not to place undue reliance on these forward-looking statements which speak only as of the dates on which they are made. I’d like to remind everyone that this call will be available for replay through June 12, 2014 starting at 8:00 PM Eastern Time tonight. A Webcast replay will also be available via the link provided in today’s press release, as well as available on the Company’s website at www.iwsinc.com. Any redistribution, retransmission or rebroadcast of this call in any way without the expressed written consent of ImageWare Systems, Inc. is strictly prohibited. Now, I’d like to turn the call over to Chairman and Chief Executive Officer of ImageWare Systems, Mr. Jim Miller. Sir, please go ahead.
Jim Miller: Thank you, Britney and good afternoon everybody. As you saw at the close of the market today, we reported financial results for the first quarter ended March 31, 2014. I like to begin today’s call by speaking first about some specific financial results for the quarter and afterwards I will walk you through some of the recent developments and the progress we’re making at ImageWare. In the first quarter of 2014, total revenue increased to $1 million versus $900,000 in the first quarter of 2013, primarily due to higher sales of identification software license revenue which includes additional licenses procured by the Canadian Transportation Security Administration. As some of you know, we’ve been the software provider to CATSA for the past six years. Gross margin in the first quarter of 2014 rose to 76.4% compared to 72.3% in the year-ago quarter. Net loss in the first quarter of 2014 was $1.7 million or a negative $0.02 per diluted share, compared to a net loss of $2.8 million or a negative $0.04 per diluted share in the first quarter of 2013. At March 31, 2014, cash and cash equivalents totaled $2.2 million compared to $2.4 million at December 31, 2013. Our current cash is approximately $2.7 million. We continue to carry virtually zero debt and currently hold a $3.5 million unsecured line of credit from two of our Board members including our largest shareholder Neil Goldman. Based upon both current and projected cash levels as well as the line of credit, we do not expect to require any incremental equity capital to fund our current operations at this time nor do we expect drop on the credit line. As we’ve indicated in past calls, we remain active in the marketplace targeting large IT integrators with established cloud offerings that could become cloud ID distributors and have been working with a number of world-class companies in this regard. Our strategy to target these large IT service providers and provide security for and over their cloud is showing traction as demonstrated by our recent partnership with IBM to provide multi-modal biometric user authentication and cloud-based identity management over the IBM Cloud Platform, code name BlueMix. IBM marks our third secured agreement with a major cloud partner, and we expect more to come. These large, established partners offer the support, brand name and worldwide cloud infrastructure needed to seamlessly distribute our products. Given this recent partnership, IBM BlueMix customers will now be able to leverage ImageWare’s identity as a service, a cloud-based multi-modal biometric identity management and user authentication platform, that easily provides user authentication solutions that meet the customers’ specific business needs. IBM clients can rapidly deploy our solutions when building applications in IBM BlueMix, which may include out-of-band authentication, mobile biometrics, mobile payment, desktop security, and more. ImageWare Solutions will be offered on IBM’s BlueMix which is similar to an enterprise app store, allowing IBM cloud customers to choose among the collection of either IBM software and services or those from a variety of vendors such as ImageWare. It’s worth noting however that ImageWare is the only biometric security solution currently in the marketplace. While IBM’s cloud marketplace is in the early stages and remains in beta mode, we’ve already received referrals from their customers, several of them we’re in active discussions with. We expect the marketplace to be upgraded later this year to provide even greater commercial support for our services. If you may recall in early March, we announced the pilot with T-Systems, the wholly owned subsidiary of Deutsche Telecom AG, in Germany. The initial testing phase is to integrate ImageWare Systems multi-modal biometric cloud-based identity management and credentialing technology into T-Systems product. With almost 200 million customers Deutsche Telecom, is one of the world’s leading telecommunication and information technology service companies, represented in approximately 50 countries across the globe. After wedding the IWS products and creating business cases for their use, T-Systems has now begun to integrate and sell their cloud products with our GoMobile Interactive user authentication solution for mobile devices, our biometric engine data base and our GoCloudID Software-as-a-Service ID management platform. Once integrated T-Systems will enable us to enter untapped markets, such as Europe, the Middle East and Latin America. In fact, we’re pleased to announce that T-Systems have reached an agreement with Deutsche Bank, German National Railroad to become the first customer of our combined product offering. We anticipate that will occur and produce revenue in the third quarter of this year. T-Systems has also advised that they’ve reached agreement with two private banks in Germany who will become customers in the third quarter. Our contract with Fujitsu to join the market of cloud-based multi-modal biometric identity management solution also continues to progress well. Due to the early enthusiasm generated by Fujitsu’s North American customers on April 1, Fujitsu established the dedicated sales team to sell our products and services in the America and accelerated the launch of the partnership product offerings to Fujitsu’s global clients. April 1, marks the start of Fujitsu’s fiscal year. And under a month and a half, we’re pleased to announce that their team has successfully set up proof of concept pilots with three of their major customers, with more expected in the future. We’ve also open contract discussions with a large retailer for the use of our joint product offering. We continue to believe along with our partners at Fujitsu that there is a tremendous opportunity in the mobile and cloud markets, specifically surrounding finance, healthcare, and retail. As you know we’ve already begun partnering with mobile wallet providers as it presents an attractive opportunity and allows us to showcase our plug in approach to identity management authentication. The prepaid market is a fertile place for ImageWare products as the market is starting for a higher level of security, a solution we can easily provide. According to a report by Allied Market Research the global Mobile Wallet Market is projected to exceed 5.2 billion by 2020, and we believe we’re uniquely positioned to capitalize on this growing market. In fact, together with Fujitsu we recently secured another mobile wallet provider Maxie Mobile who is working on a very innovative application which will bring a biometrical secured mobile wallet to the gaming industry. We expect our other mobile wallet customer Global Payout to begin its roll out in the second quarter and we will start to recognize monthly revenues Global Payout add subscribers to its service. ImageWare will be involved in virtually every deal that Global Payout’s have. We expect to recognize revenue from the completion of the Los Angeles World Airport project totaling approximately $1 million in the third quarter of 2014. We are also close to securing several significant traditional licensing agreement in the high six to low seven figures in the public and private sector. Although as you well know, it’s difficult at best to predict precisely when that revenue will be obtained and recognized. It’s worth noting that in April one of our partners that we’ve worked with at certain airports, GCR, introduced AirportIQ Secure Credentials which combines core biometric and credentialing functionality provided by ImageWare with business automation and other components built by GCR. This solution which we expect to be used at other airports is essentially the same solution we’ve provided jointly to Los Angeles World Airports and is now being marketed by GCR worldwide. As we move forward, we continue to view intellectual property as the key component to our overall strategy. We currently have 12 patent applications pending to augment the nine we hold in the United States around our biometric and mobile technology. In addition to our strong U.S. patent portfolio, we’ve been awarded patents on our multi-modal biometric engine technology in Canada, Australia, and China with applications pending in Europe and Mexico. ImageWare’s proven record of government experience executing best-of-breed patented, fully compliant biometric solutions will drive the standards for commercial and consumer adoption. As we’ve stated we’re on track to accomplish our goal and we continue to build the backlog of opportunities that gives us great optimism as we move forward. We share our relationships with IBM, Fujitsu, T-Systems, and others representing just the tip of the iceberg in terms of our opportunities in the commercial and consumer marketplace. All of these partnerships are progressing well, and are now in the cusp of producing revenue. As we report you today, there was every indication and we’re highly confident that the steps we’ve been taking to advance our cloud, SaaS, and mobile offerings are building shareholder value and will soon begin to provide a steady stream of recurring revenue starting in this second quarter. And now, we’d like to open up the call to any questions you might have.
Michael Malouf - Craig-Hallum Capital Group LLC: Hi, Jim. Thanks for taking my questions …
Jim Miller: Hi, Mike.
Michael Malouf - Craig-Hallum Capital Group LLC: … and great to see some progress.
Jim Miller: Yes. Thank you very much, Mike.
Michael Malouf - Craig-Hallum Capital Group LLC: I’m wondering if you can just give us a sense of on Deutsche Bahn, don’t really know that well maybe you could profile that customer and how they’re using it and how many units or how many subscriptions company like that would use? Thanks.
Jim Miller: Right now -- Deutsche Bahn of course is the National Railway System of Germany. They operate both the high speed ICE trains and regional transportation throughout the country. In terms of company side, Deutsche Bahn roughly has about 300,000 total employees. And so, as I said, they’re the German National Railroad operator. In this particular case Mike, we’re looking at the issuance of approximately 9,000 licenses. About I think all we can say today because of security reasons it’s for logical access to start. And then we -- our plan is to grow the role out from there, but it’s a pretty healthy start and it will be used system wide. And as I said, it starts roll out in the third quarter.
Michael Malouf - Craig-Hallum Capital Group LLC: Okay, great. And then you mentioned two private banks, I think. What (indiscernible) then so?
Jim Miller: Yes, private banking is, I think more prevalent and seen more in Europe than it is here. So these are what I think would probably be referred to in the U.S. as smaller boutique banks although they provide high visibility, because of their profile. For security reasons we were asked not to name the banks. Yet, we will be able to do that at some point, but we’re pretty happy, I mean, the transportation is a great opportunity to use the technology financial services as we’ve said often is one of our target focus market. So these are just sensational showcases for the technology, great uses for them.
Michael Malouf - Craig-Hallum Capital Group LLC: Great. And then, it looks like Fujitsu just after one and half months has started down the path of getting some customers as well. Can you give us a sense of maybe what industries these three pilots are in, and how large they could end up being?
Jim Miller: Yes, I can. And I’ll say that the outset we could be happier with the progress being made by Fujitsu. They are out there. They’re hitting it hard, and they’re doing great work on their end of the partnership. They have, as we’ve said before they tend to focus on their clients which tend to be extremely large Fortune 100 companies with global reach. The proof-of-concepts are set up in the telecommunications space, in the manufacturing space, and in the transportation sector there as well. And as I mentioned in the remarks we have opened up a negotiation with a large retailer with Fujitsu to reach a contract on implementing the technology for identity management for their employee base.
Michael Malouf - Craig-Hallum Capital Group LLC: Is that a U.S. based operation?
Jim Miller: The company is a large multi-national retailer. It is based in the U.S. yes.
Michael Malouf - Craig-Hallum Capital Group LLC: Great. And then, if I could just ask one more question, with regards to the timing on the pilots, does that take usually three to six months to get to a contract or is it shorter than that?
Jim Miller: Good question, I mean it's a little bit of uncharted water share for us as we work our way through it. Certainly we’re seeing that people are picking up the product and installing the proof-of-concepts much quicker than our experience in government, thankfully. And I think all the partners have agreed that we are going to use our best efforts to move along these proof-of-concepts, because it's in Fujitsu’s or T-systems or IBM’s interest to generate revenue as well. That’s the reason that they formed the partnerships. So, we don’t have any experience that guides me in guiding you, but we’re trying to look at these things sort of in 60 to 90 day kind of timeframe.
Michael Malouf - Craig-Hallum Capital Group LLC: Great. Thanks a lot for the color.
Jim Miller: You bet.
Operator: Thank you. (Operator Instructions) Our next question will come from the line of Bob Clutterbuck with Clutterbuck Capital Management. Please go ahead.
Robert Clutterbuck - Clutterbuck Capital Management: Hi, Jim. How are you?
Jim Miller: Good, Bob. Thanks.
Robert Clutterbuck - Clutterbuck Capital Management: Congratulations. It seems like you guys really have things rolling and some of these are follow-ups really from the first sets of questions -- first one, and then I’ll try and make these quick. With your three partners would you anticipate, you said you anticipate more partners, do you anticipate one or two more and what would the expected time period be on that?
Jim Miller: Bob, we’re looking at, at least one more, maybe two, but one more by the end of the quarter. These are discussions that have or have been started, they’re in progress. They run in parallel, not serial track. So we have had a lot of things going on, and we’re in the process of reeling those in. So we remain comfortable that you will see at least one more maybe two by the end of this current quarter.
Robert Clutterbuck - Clutterbuck Capital Management: And so, the bigger more international type names?
Jim Miller: Yes, I think it's fair to say, like the ones we have. Household names, everybody will know who they are.
Robert Clutterbuck - Clutterbuck Capital Management: Okay, terrific. And I know, if I were in your shoes I would have a lot of reluctance to do this, but and I know you guys have not traditionally done in the past. But if we’re looking at year-end, can you give us any type of your expected revenue guidance between now and the rest of the -- the end of the year?
Jim Miller: Yes, Bob that’s going to be still the tough one. Just because we don’t -- we’re now into the commercial, not government market place. So we’re -- and as I said to Mike, we really are in uncharted waters for us. I think all of the partners agree that revenue is number one order of the day. Its number two, three, four and five for that matter and everybody has a sense of urgency not typically seen in the public markets or public sector, biometric market place to move these things as fast as possible. That said; we don’t really know because we’re just starting out here. But obviously we believe we will be able to recognize the software licensing revenue in the period that it's put into, but in terms of how much that will be, I don’t think we’re comfortable with going there just yet. We’re getting quite a bit comfortable.
Robert Clutterbuck - Clutterbuck Capital Management: Okay, but you did say you do expect some revenues from these partnerships to actually hit the second quarter?
Jim Miller: Yes.
Robert Clutterbuck - Clutterbuck Capital Management: Okay, terrific. Well then the last one is an easy one, I think from time-to-time and obviously you have to meet different parameters and I used to know exactly where those are, but NASDAQ any thoughts or comments on when we might -- are we considering NASDAQ, what's the deal?
Jim Miller: Yes, we absolutely are. We like you to think it's important to uplift the company. We have been in conversation with NASDAQ towards that end. So it's one of our top agenda item. So you should look forward to that and not as a coming attraction because we agree, we need to do it.
Robert Clutterbuck - Clutterbuck Capital Management: Are we thinking this year or?
Jim Miller: Yes, we’re going to try to -- we absolutely are thinking this year, yes.
Robert Clutterbuck - Clutterbuck Capital Management: Okay, terrific. I’ll turn it over to other people, and it's a great start. Keep it going.
Jim Miller: Thanks Bob. I appreciate that.
Operator: Thank you. Our next question comes from the line of Chris Kuchanny with Revelation Capital Management. Please go ahead.
Christopher Kuchanny - Revelation Capital Management Ltd.:
Jim Miller: Yes, absolutely. They are -- as you know we have a little secret about converting our business to more of a Software-as-a-Service for a couple of reasons. It mitigates the risk of adoption on the part of our customers. It also transforms our financials from that lumpy government model that we’ve all experienced and the two are more stable revenue model that recurs, it's sustainable, it’s projectable. So those are the models we are employing. There maybe from time-to-time depending on the customer, products and services from ImageWare that are not sold on a, per person per month per user basis. But I would expect that now to be the exception to the rule. And we would expect that to really only apply in the government sector, because government just simply, it isn't -- we haven't seen -- I won't say they’re not ready, but it takes them a little more time to get their arms around a new pricing model. As you know government sales and software are usually involved, a one time procurement fee then followed by the annual maintenance which is effectively your recurring revenue. Government has not shown that it is ready to wholesale jump into per person per month to replace that historical model. However in all the other models we’re talking about, Chris it's per person per month. So, just to review what that involves with is, there is an enrollment fee or charge upfront that is every person that enters the database will pay something. That something will change. It is not a uniform number. Depending on the number of people going into the database the number could be, we’ve reported some numbers in the $0.50 range. That number could be in the several dollar range -- we expect it to be in the several dollar range in some of these other deals. Then ongoing we would receive a fee per person per month, so $0.50 to the $1 it seems to be sort of a range that appears to be very comfortable as we talk to people, that’s per person per user per month. And there is the recurring revenue piece of the equation. This model is very attractive as we’ve gone out and talked to folks. And we don’t see any reason why it won't be employed in -- I would say 80%, 90% of the time, Wayne do you think in that range? So, and geography doesn’t seem to matter, Chris. People seem to like -- in the private sector people like this approach because they literally can pay as they go, and they can control their own cost of implementation. So, it's a very attractive model for them as well.
Christopher Kuchanny - Revelation Capital Management Ltd.: And the industry doesn’t matter either?
Jim Miller: No, it doesn’t seem to. No.
Christopher Kuchanny - Revelation Capital Management Ltd.: And when you said the, per user per month fees in the dollars range, I mean is that, what is that, $1 to $5 sort of dollars?
Jim Miller: Yes, we’ve got some people in discussions where it's just slightly above $5. Again it really is variable depending on the size of the database population. So, as -- if you’re talking about several 100s of 1000s of people in a database below 100s, that number will be in the dollars, that enrollment fee. But we would expect that to slide down if you are talking about large volume transactions, somebody putting 10s of millions into a database then the number will slide down to a smaller number because volume gets to a break on that enrollment fee.
Christopher Kuchanny - Revelation Capital Management Ltd.: Okay, great. And maybe you wouldn’t mind just talking a little bit about and so this is a vast subject. But just specifically how related to you, where we are in the technological advancements with mobile and other sort of hardware, because I know that has been a bit of a bottleneck for you with some of the product offerings and we’ve seen things like Apple’s iPhone and Samsung’s phones immediately having their security hacked and their fingerprint ID’s hacked. I mean obviously, the multi-modes is one answer to that. Are you seeing a bottleneck with hardware on where we are technologically wise, and do you think that that’s going to change?
Jim Miller: Yes, I do think it's going to change. We are aware because of our discussions with folks that, they are preparing to bring for example, IRIS technology to the mobile world, the handsets and the mobile devices. You know of courses Voice is already with us, you know Face is already with us and to some extent Fingerprint is there as well. I think those technologies, as all current technologies do will get better, cheaper, quicker, faster. That seems to be the way of the world in technology. Biometrics and the algorithms on the handsets will be no different than that. We are actually pretty excited by what we’re seeing. Fujitsu our partner has debuted now the Palm View Technology for mobile devices. It made its debut earlier in the spring, and that will also be coming to handsets. So, and as you know from our model we deal with any of those biometrics. So, we welcome the proliferation of those. I think they’re only going to get better, and clearly from where, what we’ve seen people we talk to and some of the industry events that we’ve shown our products at, you can see that multimodal biometric authentication on mobile devices is coming in, it's coming pretty fast.
Christopher Kuchanny - Revelation Capital Management Ltd.: Sorry, just one last question, sorry (indiscernible).
Jim Miller: Sure.
Christopher Kuchanny - Revelation Capital Management Ltd.: It's obviously encouraging to see from these larger companies come onboard, I mean with this type of mode, I mean they’re the larger number of employees or clients that your end-client has obviously and is very important. Can you just speak to, I mean the opportunity you have in the pipeline now, the range of employees, clients that’s some of the parties you were speaking to, you mentioned three major Fortune 500 companies and Deutsche Bahn having 300,000 employees, and they’re starting smaller with 9,000 licenses, but maybe -- would you mind just talking about this?
Jim Miller: Yes, not at all. No, some of the companies are very, very large in terms of employees, and that is this technology will be deployed, generally speaking for types of physical access in and out of places, logical access in and out of computers, and in and out of computer systems. The proof-of-concepts that are being run by partners at Fujitsu are being run for world class Fortune 100 type companies with 100s and 100s of 1000s of employees, and lots of requirements to make sure that logical access is solid and safe and secure as well. So, these are -- I can’t and won't underestimate them. These are enormous opportunities with very, very large companies that will adopt them in phases. But as they move forward we have literally in the millions of available users of the technology that works for our customer or our, would be potential users of the technology through clients of IBM, clients of Fujitsu, and clients of T-Systems.
Christopher Kuchanny - Revelation Capital Management Ltd.: Okay, great. Well, thanks. It was very encouraging to see these wins come through and keep up the good work.
Jim Miller: Thank you, Chris. I appreciate that very much.
Operator: Thank you. At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Miller for closing remarks.
Jim Miller: Thanks, Britney. Two years ago we repositioned ImageWare to take advantage of the shift in computing to the cloud and mobile devices. Cloud computing and the pervasive use of mobile devices demand better security than pins and passwords. Gartner predicts in 2016 that 30% of all transactions will be done via mobile devices. The Federal Reserve tells us that among those who do not use mobile devices for financial services the overwhelming reason is the lack of security. We are in the right space and in the right place with products and partners who are actively marketing and selling our products alongside theirs into a world market poised to explode. In summary our strategy in ImageWare as the leader in cloud based and mobile biometric identity verification has garnered significant interest, has yielded world-class partners, and it is now showing momentum in an opportunity rich market which is exploding due to the convergence of ways of cloud acceptance, biometric acceptance, demand for better security and the proliferation of the smart mobile device. We are confident that revenue from these efforts is eminent. We appreciate your continued support and interest, and in return know that we remain absolutely committed to returning shareholder value. We think the weeks and months ahead are going to be a very exciting time for us all. We thank you for your participation in today's conference call, and we look forward to speaking with you again on the next call.
Operator: Thank you. Ladies and gentlemen, this concludes the ImageWare Systems Corporate Update Conference Call. We thank you for your participation. You may now disconnect.